Marvin Rush: And welcome to our first quarter 2023 earnings release conference call. On the call are Mike McRoberts, Chief Operating Officer; Steve Keller, Chief Financial Officer; Jay Hazelwood, Vice President and Controller; and Michael Goldstone, Senior Vice President, General Counsel and Corporate Secretary. Now, Steve will say a few words regarding forward-looking statements.
Steve Keller: Certain statements we will make today are considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Because these statements include risks and uncertainties, our actual results may differ materially from those expressed or implied by such forward-looking statements. Important factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements include, but are not limited to those discussed in our annual report on Form 10-K for the year ended December 31, 2022 and in our other filings with the Securities and Exchange Commission. 
Marvin Rush: As indicated in our news release, we achieved first quarter revenues of $1.9 billion and net income of $90.5 million or $1.60 per diluted share. We are proud to declare a cash dividend of $0.21 per common share. In the first quarter, we experienced strong demand for new Class eight and Class four to seven trucks, largely due to limited new truck production over the past few years. There was a healthy widespread demand for aftermarket parts and services as well and we maintained our focus on strategic initiatives, support to large national fleets and operational excellence. We significantly outpaced the industry in medium-duty truck sales, as well as aftermarket sales and we are proud of our results in the first quarter. In the aftermarket, our parts service and body shop revenues were $648 million, up 19.3% and our absorption ratio was 136.5%. In the first quarter, we experienced strong demand for parts and service for most of the customer segments we support. We continue to add service technicians to our workforce, notably mobile technicians, which supports our long-term strategy to expand our mobile presence across the country. Looking ahead, we anticipate the rate of inflation to continue to slow and the parts revenue, growth will moderate throughout the year, when compared to our first quarter results. However, with our continued focus on long-term initiatives, including strategically expanding our workforce to support mobile service efforts and national accounts, we believe our after quarter -- aftermarket revenues will remain strong this year. Turning to truck sales. We sold 4,365 new Class eight trucks, accounting for 6.4% of the total US market and 2.2% in the Canada market. While there's still pent-up demand for new Class eight trucks, we experienced healthy demand for most market segments, particularly over-the-road vocational, call hours, energy customers and large national fleets. ACT Research forecasts US class retail sales to be 259,000 units in 2023, essentially flat compared to 2022. While continued truck allocation may limit our growth potential, our backlog remains strong and we believe our second quarter Class eight truck sales will align with our first quarter results. Overall, we expect our results will be consistent with the industry this year. Our Class 4-7 new truck sales reached 3,038 units in the first quarter, accounting for 5.3% of the US market and 3.2% in the Canadian market. We experienced healthy demand from a variety of market segments. Further, while supply does not get caught up with the needs of the market, we began to see truck manufacturers' shift more resources back to producing medium-duty trucks. ACT Research forecasts US Class 4-7 retail sales to be 253,600 units in 2023, up 8.6% from 2022. As production continues to improve and as customers prepare for upcoming emission regulations, we believe, there will continue to be strong demand for medium-duty commercial vehicles for the remainder of 2023. Our used truck sales reached 1,684 units in the first quarter, down 29.7% year-over-year. Demand for used trucks remained low, largely due to the continuing increase in new drug production. As new truck production continues to improve, we expect further deterioration in used truck pricing and we plan to carefully manage our used truck inventory levels, until demand begins to increase and value stabilize. Our lease and rental revenue was up 21.5% compared to the first quarter of '22. We continue to experience strong demand for leased vehicles and our rental utilization rates were solid in the first quarter. We expect our lease and rental operations to continue to make significant contributions to our overall profitability for the remainder of 2023. Looking ahead, we will continue to monitor economic factors, which may impact our industry but we believe our overall financial results will remain strong through the rest of 2023. Before closing, I would like to thank our employees for their great work and for their dedication to our company's goals, as well as providing superior service to our customers. With that, I will take any questions.
Operator: Thank you. [Operator Instructions] And our first question is from Justin Long with Stephens. Your line is open.
Justin Long: Thanks. Good morning, and congrats on the quarter.
Marvin Rush: Thanks Justin.
Justin Long: I'll start with parts and service. Rusty would love to get your thoughts on parts and service growth over the remainder of the year. And, obviously, we're going to see some moderation just given what's happen or happening with inflation. But is there anything else that's driving that moderation, or would you say your parts and service growth going forward ex-inflation is remaining pretty consistent.
Marvin Rush: No, no, I don't see anything out there. We continue to execute on all the strategic conditions that we have been implementing rather consistently over the last six or seven years to be honest. I would tell you, while it may moderate somewhat given -- plus given some pretty large comps coming forward, we still believe we are going to close the year in double digits, okay? I would expect the next few quarters to slightly moderate some also the 19-plus percent understanding that yeah there were some acquisition stuff in there, the Canadian stuff but we were still well over 17% from a same-store score perspective in Q1. So with that got to start, we're talking high singles and low double later this year. We'll just have to see how it plays out. I can't predict it exactly, but we will still see overall growth well outside of inflation. So we just -- we feel very good again about, I think it's important. I was -- you see that absorption rate number there. I believe everybody -- I hope folks know absorption rate number. It's the calculation of parts service and body shop gross profit versus the G&A of a dealership, right? Well, we put out, it's 136.5%. Now I think it's important to note that if you take our new acquisitions from last year and that would be the Canadian acquisition along with our acquisition of Summit. They are well below that number. If you looked at prior stores that we had prior to those two acquisitions that number would be into the almost mid-140s number. I would have never ever thought we could ever achieve. So what that really explains to you is the fact that there's plenty of upside in these other stores. Over last year we just brought them on to our business system really between March and August. Well, just getting on the system and bringing your regimented way of going to market to them is not an add water and stir thing. So those numbers for sure have room for growth in the coming years as they grow to catch up with the rest of our locations, right? So I feel very good about the overall parts and service outlook for us going forward regardless of where the market is. You got to understand, we go to the market very diversified. We're not just hitting at one segment I always try to explain that to people. We're not just doing over-the-road business; we're varied in many different market segments in the location side. So the vocational business is not -- it's pretty good out there right now. So I mean I can go on and on Justin. The quality of what I see, the quality of earnings that are out there. But that's a little bit but touching on it from a parts and services perspective there.
Justin Long: Okay, got it. That's helpful. And my next one is probably for Steve, but is there anything you can share on the expected trend in SG&A as we move into the second quarter relative to what we saw in the first quarter? And then maybe thoughts on interest expense going forward as well given it's come up a good bit the last couple of quarters?
Steve Keller: Well, as you see G&A was sequentially up significantly from Q4, and that's pretty normal for us. In Q1 compared to Q4, we incur a lot of what we'll categorize as benefit -- employee-type benefit cost. We issue our options payroll taxes kick back in which had falloff as the year goes as people hit earnings amounts. We -- typically in Q2 that will stabilize, you won't see another sequential jump. You'll see it pretty flat maybe even slightly down. On the interest front, you'll -- I would expect Q2 to be very similar to Q1. Inventory levels are elevated versus last year. I think it was up about whatever $8 million $9 million $10 million versus Q1 last year. That's what you believe it to be. It's a product of interest rates on our floor plan and carrying amounts of inventory. You got to remember even though we're on allocation we're turning them quick. They sit in inventory a while, while we bought them up and do things like that. So I think the remainder of the year you're going to see the run rate similar to what it is depending on your outlook for interest rates I think maybe there's another quarter point bump. I'm not sure, if there's much more than that. So that probably going to be very similar to Q1 for the remainder of the year.
Justin Long: Got it. That's helpful. And maybe I'll close with the high-level question for Rusty. When I think about the business going forward, it feels like we're going to see higher highs and higher lows and I look at valuation multiples today and they're still very compressed relative to what we've seen historically. What do you think the market is missing?
Marvin Rush: Well I'm going to step out a little bit here Justin. But a good question, right, especially when you're sitting in my chair. Based upon our current multiple and where it has been in the last couple of years. I do not believe the market fully understands how our strategic execution has improved our quality of earnings. The aftermarket growth and the expense management that resulted from executing our strategic initiatives have increased our absorption rate as I mentioned earlier to 136, but well above that in the old stores. Combined, we have the acquisitions in. I also believe the market to realize that the normal replacement cycle for Class 8 in the US, when you take the last 10-year average has increased to over 225,000 units per year. I think if the commercial market performance, how we and other industry experts such as ACT Research expected to we believe that, we've significantly improved both our trough and big earnings since the last down cycle in 2020. So ACT from operative perspective the ACT's current forecast for Class 8 is correct, which trough they've got it at 217,000 units in 2024 at a peak of 311,000 units 2026, I've got to believe that our trough earnings would be pretty far north of $4 a share and peak earnings could be north of $8 a share. That's – for me that's stepping out. I usually don't say that. But I don't think people truly understand the company sometimes. When you talk about those multiples and I've been looking at it for the last couple of years, and it could be a little frustrating from my perspective. So, I think if someone digs deep into the model and looks at it and lays out the forecast of most industry experts we use ACT. That's what you're going to come up with. So, I mean, I don't know a better way to explain it to you than that. 
Justin Long: That makes a lot of sense. Thanks, Rusty, appreciate the time.
Marvin Rush: You bet.
Operator: Thank you. One moment for our next question. And our next question comes from Andrew Obin with Bank of America. Your line is open.
Andrew Obin: Hey, Rusty, its Andrew Obin. Hey, guys, hello to the team as well.
Marvin Rush: Thank you, Andrew. And teams say, hello , back.
Andrew Obin: So the question for you and I think you and I have had this debate for a while. You guys are generating more and more cash flow. You -- it seems there's a level of frustration with where the stock is. And I know you are buying back stock, but why not get more aggressive on stock buyback in this environment? Particularly because a couple of years ago we were talking about a $4 as your peak earnings number and now it's your trough earnings number. If the market is missing so much why not just buy back more?
Marvin Rush: Well, Andrew, everything is on the table, how about that. I'm not going to get that specific about it right here. As you know, we are consistent. We did continue to buy back stock in the quarter. I give out $26 million or so back in the quarter. I look exactly. We got $150 million approved and we've bought back about $40 million of that since approval. And we plan on continuing that pace through the end of the year, if not accelerating and I hear you. So everything is on the table, as I said to your, buddy. I'm not going to sit here right here on this call and say, this is the -- we increased our buyback to $150 million from the last few years of $100 million, when we really didn't even execute on it, but we plan on doing -- plan on probably executing pretty close to what we've got out there as far as approval right now, I can tell you that.
Andrew Obin: No, I appreciate that. Can you talk about just sort of the progression of your parts and service business? Because I think relative to my expectation, it has been holding up better than expected. What's driving that? What do you expect the exit rate for the year to be particularly as the comps get tougher? And what do you say about sort of the underlying economy and how much of it -- we know that you're changing your business model. We know that you're going after larger customers, right? We know that in some cases people who drive your parts and service business are not even your large new truck customers, a lot of things happening below the surface, but maybe just sort of unpack this business for us a little bit. Thank you.
Marvin Rush: Yes. That's a big question. I think, I touched on some of it a little bit earlier. We feel great about our parts and service business, okay? It continues to grow. I mean, look back, if you just take the last two, three years and it has been a very consistent. We've been outperforming our expectations even over the last couple of years when it comes to growth. And sometimes, we even underestimate. I mean, without getting into numbers. We even underestimate the power of the network, okay? When you do have a network our size, which is, by far, the largest commercial network in the United States and you represent as many manufacturers as we do and you're able to also go after other brands of trucks and for a large customer, because nobody really runs one brand anymore, okay? And you're equipped to do that. I think -- and you take the approach we do by leveraging off that network and our people, and you have strategic initiatives like we've put in the last few years, whether its -- I might get too specific, because some of that we believe is proprietary to us, around the parts business, around the service business, as you set goals to double your mobile service footprint in the next three to four years and then you continue to execute on that. You get the numbers we're talking about. I mean when I first knew you, Andrew, if we had started talking about. Now, this is stores. This isn't -- when you look at dealership locations running over 140%, I would have never ever believed we could do that, but we do. And we continue to find what we continue to attract more customers, again, given how we go to market, our facilities, our people, everything, and what customers are wanting. They're not only a bunch of hodgepodge mixed up performance from their service networks. They want one consistent consolidated answer. And I do believe that we provide the best in the marketplace. And it's all I can -- I can get into the numbers, but we're going to consistently continue to grow it. We feel very good about that. And even, like I said, the world is evolving. I don't know what -- going to customers. That's why we're big on this mobile thing, reaching out and going to customers providing more -- better service, big cities continue to get more cogged up the port, the point of taking a truck, driving into dealership, dropping it off, having to pick it up again. Those are all inhibitors to a person taking trucks and producing revenue. So that's why the mobile thing makes a lot of sense. And I can't get into all the drivers, Andrew, but the performance speaks for itself in the last few years and I don't see anything that's going to change that. So, I mean, those are just, without getting into numbers and telling you this much growth here, I already did that. Those are the things that we believe set us support when it comes to taking care of customers. And at the end of the day as the coin, every one of our employees clearly says, the customer is the boss.
Andrew Obin: And just the last question. Can you just walk -- that's my usual question, can you just walk us from a macro standpoint to your point you have a lot of exposure vocational you're in Florida, you're in Texas, you're in California, you're in Mid-Atlantic, you're in APRA Midwest. Can you just tell us in terms of the economy what are you seeing? Because you really have a uniquely informed view of the economy? Thank you.
MarvinRush: Certainly, happy to Andrew. I would tell you let's start on the East Coast, right Florida still strong. I was just in Florida two weeks ago like that's about our largest mobile group. That is over 60 mobile technicians working throughout the state of Florida and lower Alabama. So -- but their business continues to be strong. And we expect a year no less if not greater than last year out of Florida. You move up then further into the Southeast, in Georgia continuing to grow and strong also. I really am not going to give you any bad reports. I would tell you Florida is extremely strong. I would tell you that South Texas is extremely strong. The Houston market is growing. Colorado seems to be doing a little bit better. Southern California, I don't want to miss anybody. I'm telling you it's broad-based -- and it goes back to -- it goes back to our customer mix to our market segment mix. I say it all the time but I don't -- I mean talks on blew in the face. But we don't just go to one market segment. It's interesting that if you say I can tell you something like this to try to geographically everything is solid. Some better than others. The Mountain of West is doing really well right now. When I say that that's Utah and Idaho. I mean -- but there are no weak spots that I can see on the map currently. There are some that are a little stronger than others. But the best thing to say when I talk about the power of the company and the power of whatever is two of the three largest customers on the international side of my business from parts and service don't even buy trucks from the international side. And I'm not going to get into names -- specific names, but that tells you how we're able to take a customer and leverage across our whole network whether he buys trucks from one side or the other or whether they buy trucks from us at all. We have many large customers that don't even buy trucks from us, but we service by leveraging off that network. So, I'm getting a little [Technical Difficulty] still hanging in there. The Midwest was -- where we're doing still well in the Chicago area. So, again I can ramble on forever as you know Andrew about the business because I'm very proud of what our people have been able to accomplish.
Andrew Obin: All right. Thanks so much Rusty. Really appreciate it. Look forward to updates on the buy back.
MarvinRush: You got it. I'll keep that in mind Andrew.
Operator: Thank you. And I'm showing no further questions at this time. I would like to turn it back over to Rusty Rush for closing remarks. 
Marvin Rush: Well, we appreciate -- well, I think it was a big earnings day today. So, I think everyone of -- all the analysts were loaded with companies reporting today. But for those who participated, we thank you and we will talk to you in July.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.